Alexandra Boucheron: Good morning. Welcome, and thank you all for joining us for the presentation of Thales Q1 2025 Order Intake and Sales. I am Alexandra Boucheron, Head of Investor Relations at Thales. With me today is Pascal Bouchiat, our Chief Financial Officer. As usual, this presentation is audio webcasted live on our website at thalesgroup.com, where the slides and press release are also available for download. A replay will be available soon after the end of the event. With that, I would like to turn over the call to Pascal Bouchiat.
Pascal Bouchiat: Thank you, Alexandra, and good morning, everyone. Let's kick off with Q1 2025 highlights before digging into the numbers. I'm now on Slide 2. So Thales has started 2025 with another quarter of robust underlying commercial momentum. The level of demand for product and solutions continues to be high in most of our businesses, which make us fully confident to achieve our guidance of a book-to-bill ratio above 1 in 2025. Sales growth was strong in the first quarter amounting to 9.9% organically versus last year. This performance is particularly driven by all avionics activities on the one hand and by defense on the other hand. Talking about defense, the momentum in Europe is particularly positive. As you have seen over the last few weeks, we support these statements from European leaders and Head of States. Thales is uniquely positioned to benefit from this, leveraging its wide portfolio of premium products and solutions fitting the needs of its customers. Although the majority of the P&L impact from those additional orders contributions will not be recorded before 2028, we are now counting on a generation long visibility in our defense activities. Lastly, our cyber business, on which I will come back later in the presentations, is expected to be ramping up throughout the year. The integration of Imperva is progressing well and as planned. As you know, the start of the year is marked by a critical step of the merger. Indeed, sales force of Thales and Imperva are merging, and this will allow unlocking the full potential of cyber security products. Moving on to Q1 2025 key figures on Slide 3. Order intake amounted to €3.8 billion over the quarter, down 27% organically compared to last year. Year-on-year growth compares to a very high comparison basis due to major contracts signed in Q1 2024. And if you compare Q1 2025 order intake to the same quarters in 2023 and 2022, we are above. You will see that on the next slide. Sales came to €5 billion over the quarter, which is a strong increase of 9.9% in organic terms, driven notably by defense and aerospace. Now looking at details at Q1 2025 order intake on Slide 4. As said, commercial momentum was solid in the first quarter with notably a strong performance in aerospace. Year-on-year growth compares to a very high Q1 2024 base. Let me indeed remind you that Q1 2024 saw the booking of jumbo contracts, of which to wear worth a unit value of more than €500 million each, the third tranche of the Rafale contract in Indonesia as well as a major air surveillance contract for military customers in Middle East. The historical order intake performance for the first quarter since 2022 shows that Q1 2025 has achieved a solid growth and is in line with the group's growth trajectory. Five large orders were recorded in Q1 2025, which is one more than last year. Three of these large orders were record in space, of which two communication satellites for Space Norway and JSAT Group in Japan, as well as a contract for the open space agency to develop Argonaut, the first European lunar lander. One was booked in Avionics, training and simulation business line to upgrade and support tactical simulators for the Dutch Army. And one was recorded in defense with the DGA in France to produce electronics equipments for French army vehicle as part of the SCORPION program. Orders below €10 million, representing 60% of the overall order intake continued to grow in Q1 2025. Moving on to Q1 2025 sales. I'm now on Slide 5. Starting with a few words on scope and currency impacts. In Q1 2025, we recorded a positive €84 million scope impact, mainly coming from Cobham AeroComms and also Get SAT acquisition. Let me remind you that from Q2 onwards, Cobham will be included in organic figures as the acquisition has been finalized being of April 2024. Currency impact was slightly positive at €17 million over the quarter. Sales organic growth was strong in Q1 2025 at 9.9% versus last year, marking a solid start to the year for Thales. This growth was mainly driven by aerospace on the one hand with a strong sales momentum in Avionics and by defense on the other hand that continue to record sharp growth. Cyber & Digital was slightly down on the back of a soft quarter for digital identity, while Cyber is expected to ramp up in the next quarters. Importantly, sales organic growth was once again well balanced with a strong contribution from both mature and emerging markets. As you can see, for instance, in Europe, North America and emerging markets. Now moving on to performance by segment, starting with Aerospace on Slide 6. Orders in Aerospace came in at €1.5 billion, which represents a 45% growth in organic terms. Avionics sees continued strong demand and recorded one order with a unit value above €100 million in training simulations in Q1 2025. In Space, order intake has been ahead of schedule compared to the planned annual rate with a notification of three large orders. Sales amounted to €1.3 billion in the segments at the end of March, an increase of 8.4% organically versus last year. Avionics recorded solid double-digit growth over the quarter, thanks to a solid performance in all activities, IFE and also flight avionics OE as well as aftermarket, and also all domains, civil as military. Space sales over the quarter were still impacted by the low demand in telco business that we have experienced over the last two years. Turning on to Slide 7 and commenting defense key figures. From a global standpoint, and as I keep saying, I need to remind that order intake can be bumpy from one quarter to another. And really, I mean, the trend is to be looked at over a longer term. So, in Q1 2025, order intake amounted to €1.3 billion, a decline of minus 59% compared to last year. Although underlying momentum remains strong and overall environment supportive, two elements explain this relative low start. Firstly, a high comparison basis, notably with two major contracts with value above €500 million recorded in Q1 2024, as I mentioned earlier. Secondly, a phasing of large-sized contract book in 2025 which will be more straight over Q2 to Q4 than last year’s. We can accordingly confirm that defense book-to-bill ratio will be above one in 2025. Sales amounted to €2.7 billion at the end of March, reflecting a sharp organic growth of 15%. All our defense activities are contributing to this robust performance and particularly land and air system this quarter, benefiting notably from radars production ramp-up that we have already mentioned in Q4 last year. Backlog remains strong and will continue to fuel sales growth going forward that we expect to stand between 6% and 7% organically in 2025. Keep in mind that comparison basis will get tougher as we progress into the year, and that sales growth in 2025 is rather front loaded. Now looking at Cyber & Digital on Slide 8. As announced at our Capital Market Day last year, we're now providing more granularity within the segments, detailing both Cyber & Digital performance. At €903 million, sales of the CDI segment are slightly down in Q1 2025, recording minus 2% organic growth. Sales were flat in Cyber with different trends between product and services. Cyber products, which represent 80% of cyber business recorded growth in the quarter leveraging Imperva's complementary offering. The integration of Imperva is still ongoing and progressing as planned. And the start of 2025 is marked by an important step, were indeed merging Imperva and Thales sales team, representing more than 1,000 people worldwide. So this is not a small matter. This process once completed, will unlock full potential of the business. However, as expected, it creates some disturbances in the short-term. Cyber services sales, on the other hand, were down in Q1 2025. This is mainly due to a soft market start of the year, in particular in Australia where upcoming elections create a bit of wait-and-see attitude. In this business, we are also currently standardizing our operations to improve margin and focusing our sales strategy on selective profitable growth segments. Growth in Cyber as a whole will accelerate throughout the year. Moving to Digital Identity, sales were down in Q1, reflecting contrasted trends. Payment Services business is back to growth. This ends five quarter in a row of sales organic decline, which, as such, is an encouraging sign. Identity and biometrics on the other hand, is down in Q1 2025. You probably remember that during COVID, this activity faced a downturn. Post-pandemic, we benefited from a catch-up effect until 2024, notably in the travel document activity. Therefore, this comp effect is not favorable as this business is now normalizing to a more usual run rate. So a few words now on the current global context around U.S. tariffs. I'm now on Slide 9. So the objective here is to provide a few elements to consider when assessing the current situations and what it could mean for Thales. However, as you know, the level of volatility and uncertainty is pretty high. And of course, we keep monitoring closely the evolution. So this is based on what we know for now and our interpretations of the latest statements from the U.S. administration. So starting with global consideration for Thales. First, defense that represents approximately one-fourth of Thales sales in the U.S. is a multi-local business, which is protected by nature as flows from non-U.S. entities to U.S. are rather limited. Also defense keeps being exempt from tariffs. Second, our Avionics business has limited exposure to large U.S. OEM, Boeing and Gulfstream, in particular. Third, most of our cybersecurity business is based in the U.S., so not affected by import duties. Fourth element in some of export contracts, i.e., when a non-U.S. Thales entity sales to a U.S. customer, we benefit from favourable incoterms. In other words, contractually, Thales doesn't support tariff surcharge. To illustrate our exposure to U.S. tariff, you can refer to the graph was put on the right part of the slide. As you can see, out of the €2.6 billion sales we made in the U.S. in 2024 around 75% were domestic, meaning sold by U.S. Thales entity to a U.S. customer. The remaining 25% were imported from various countries or reflecting use of materials that are imported. I think those elements in mind, there are three areas of our U.S. business that could be impacted and that are under our scrutiny. First, I mean, the aftermarket business within the Avionics segments, which partly relies on imports, such as for repairs and spare parts. The imports originate from various countries, France being the main one. Still within Avionics and the second element is our IFE business, which could also be impacted as it is importing screens from China into the U.S. The sore points within Cyber & Digital is payment cards sold in the U.S., which are mostly produced in other countries, mainly Mexico and Singapore. This being said, we are, of course, actively working to implement and roll out mitigating actions to reduce the potential impact from tariffs. A few examples are set out on the slide, namely using specific customs program that limits the impact of tariff price, for instance, duty drawback or temporary importations under Bonds for goods imported and exported within one year. Another element is redirecting production flows to minimize the impact of higher tariffs. Another example is optimizing the supply chain for instance, with alternate or dual sourcing. Of course, also considering amending transfer prices and also lastly, passing the surcharge to customers. The key message I would like to deliver here is that at this stage and based on the available elements, the direct net impact is overall contain. As to potential indirect impacts, of course, at this point, they are not known at this stage. So moving to the last slide of the presentation Slide 10. As you have seen Q1 2025 was a pretty solid start to the year across the Board. Momentum remains supportive in most of our businesses, and the perspectives are strong for 2025 and beyond. This allow us to fully confirm our objectives. Our book-to-bill ratio to be above 1 in 2025. Sales are expected to grow organically between 5% and 6%, corresponding to a range of €21.7 billion to €21.9 billion based on April 2025 year-to-date foreign exchange rates. I remain that this guidance fully incorporates potential tariff impact with the elements that we are aware of as of today. And third, adjusted EBIT margin expected between 12.2% and 12.4%. So many thanks for your attention, and I will now be pleased to answer your questions.
Operator: Thank you. Ladies and gentlemen, we’ll now start the question-and-answer session. [Operator Instructions] We will now take the first question comes from the line of Ben Heelan from Bank of America. Please go ahead.
Ben Heelan: Yes. Good morning, Pascal and Alexandra, I hope you guys are well. First question from me, Pascal. On the Cyber Premium Services weakness, can you go into a little bit more detail actually what is driving that? It seems quite a big decline just in Q1. So just a bit more color on what’s driving that and how we should think about it in the second quarter and through the rest of the year? Second question would be, is there any update that you can provide on the space discussions with Airbus and Leonardo. I think there was some press that the three of you had met with the European Commission a couple of weeks ago. So just any update there would be super helpful. And then finally, your DIS or CDI business is quite a short cycle business, and you’ve given us a kind of direct impact assessment from tariffs. So I was just wondering, have you seen any evidence of indirect impact yet over the last three, four weeks, whether it be in the shorter cycle business in CDI or maybe in aerospace on the Avionics side? Just any comments there would be great. Thank you.
Pascal Bouchiat: Okay. Good morning, Ben. Okay. So let’s start with Cyber Premium Services, maybe to make sure that everybody has followed as you know, I mean, in our Cyber business that we bought separately from digital in our CDI business. I mean the bulk of this business is really the product segment, which by far is the most profitable one. It represents 80% of the overall Cyber business within CDI. And here, I mean, your question was more about the second one, which is the services, what we call Cyber Premium Services, which represents 20% of the overall Cyber business that we report under CDI. And it’s to that here, I mean, quite a low start. And as I mentioned, I mean maybe two elements to consider on this matter. First, as you know, I mean, we made an acquisition, I mean, back in 2023 in Australia. And we see in this business, some weakness in term of level of demand. As you know, I mean, Australia will undergo elections in the next few weeks. And it's true that we have seen some kind of wait-and-see attitude on this business. Now more structurally, it's true that, at this point, the level of profitability of our cyber premium services is not in line with our expectations as opposed to the product business where profitability is pretty high. In Premium Services, today, level of profitability is not in line with our expectations. This is the reason why, I mean, we tend to focus, I mean, this business more and more and the most rewarding market segments, where, I mean, the level of profitability is significantly higher. So this is also, I mean, what we're planning to do and it's true that in some cases, we have in 2024 and beginning of 2025, decided to exit some accounts here and there in market segments where we believe that the overall level of profitability in the midterm is not in line with our expectations. Second question about update on discussion with Leonardo, Airbus on space. So you probably have in mind that we are pretty quiet, and we don't talk too much on this, I mean, potential which is partnership between the – I mean, the three companies on space. I mean it's true that I mean, we clearly confirm a high-level non-binding discussions across our three groups on the future of our Space business. And I don't want to be more vocal on this matter. By definition, we all know that a significant part of this business is a commercial business, whereby definitions, antitrust rules apply. And by definition, this is a matter that is quite important in the context of those high-level discussions between the three of us. So I don't want to be more explicit on this matter. Just to remind you that in this overall framework, we keep focusing our teams on the restoration of profitability in our space business and in particular, I mean, the full implementation of this cost adaptation, this cost-cutting program that we have announced in March 2024. Last point, tariff impact on short cycle, CDI, Avionics, no. I mean at this point, we don't see, let's be clear, we don't see today impact of the rise in tariff on our short-term cycle business like CDI and also aftermarket in organic. It is not what we see today. Now of course, I mean we need to be quite vigilant on this matter. But at this point, and in particular, was quite vocal about, I mean, the growth that we enjoyed in Q1 2025 on all our Avionics [ph] businesses, including, I mean, the aftermarket business, which delivered pretty strong performance in Q1 2025.
Ben Heelan: Great. Thanks, Pascal.
Pascal Bouchiat: Thank you, Ben.
Operator: Thank you. We will now take the next question from the line of Olivier Brochet from Redburn Atlantic. Please go ahead.
Olivier Brochet: Yes. Good morning, Pascal and Alexandra. I will ask three questions as well, if I may. The first one is about defense in Europe. Do you have any element that you can share on the geographical areas where you see stronger growth for Thales compared to the local market? If you could give us a few data points for that. The second question is on FX. There have been quite a lot of FX moves in recent weeks. Could you update us on what we should expect for the full year in terms of the impact at this stage? And third, it's following up on Ben's question on short cycle businesses, in payments, do you have any signal at this stage of potential slowdown in the U.S.? Or anything that would come back and return the business to some decline.
Pascal Bouchiat: Okay. Thank you very much, Olivier for the three questions. So starting with defense in Europe, I mean at this point what we earned is pretty bold statements from all political leaders in almost all countries within Europe. I mean, starting in France with Mr. Macron saying that we need to move from 2% to 3% of defense spending as a proportion of GDP. In UK, Prime Minister Starmer saying that we need to keep going and reaching 2.5% of GDP in 2027, but targeting 3% longer terms. What happened in Germany with – I mean, the vote to exempt spending and defence and the vote of the €500 billion investment funds, which has been voted mid-March, I mean the statements from political leaders more in the eastern part of Europe. So across the board, I mean we have seen in Q1 2025 a number of pretty strong statements from head of state about the need to increase defense spendings. Not to mention what for instance the head of NATO General Secretary, Mark Rutte think that NATO country should keep rising their defense spendings. Mrs. von der Leyen saying that we need to move from below 2% to above 3%. So it’s really across the board, I mean statements now. I mean we have been also quite clear about the needs, I mean for those countries to get organized before we could see, I mean a direct impact for us in terms of additional order intake. And we said that of course it will take time before we move from those high level statements to actual increase in budget and probably in 2026 budget should be a good first input to see how quickly we’ll see those increasing defense spendings materializing in terms of defense budget for each of those countries. Now what we see, and I guess we have been also quite clear is true that in particular for Thales in 2025 we also expect, I mean, Ukraine contribution to be higher than it was so far. We mentioned that Ukraine 2023, 2024 in term of order intake and level of revenue would represent something like 1% of our overall order intake and sales at group level. So 1% of Thales order intake and revenue. Now it’s told that in particular in 2025 we’re targeting more business directly to Ukraine and in particular what could be a pretty jumbo project contract, which is what Prime Minister, Starmer mentioned a few weeks ago about putting in place trade exports, funding, I mean to allow the production of 5,000 short range missiles that would be manufactured by Thales in Belfast. So I see that as an opportunity for us in 2025. Second question about forex. So forex, we need to consider two angles. One is the transactional exposure and the second one is more the translation, the conversions exposure for a go blind tenant. So let me start with the overall exposure on transactions, overall and it’s a figure that we have already communicated in the past. Overall, I mean a tariff exposure to U.S. dollars from a transaction standpoint represents around €800 million per year. Two-thirds on Avionics and one-third on cyber and digital. Now the good thing is that as I look at our overall level of hedges, what I can share with you is that with regard to Avionics, 2025, 2026 and a significant part of 2027 has been hedged at an average rate of 1.08, which is pretty satisfactory considering how we see today the U.S. dollars euro conversions rate. On CDI as I mentioned, which represents one-third of this global exposure, 2025 is fully hedged. But as this is a short cycle type of business at this point, I mean the hedges that were booked, I mean, realize only to 2025. 2026 is not hedged on this CDI business. Now second point on translation. So translation is – I mean, the impact of our Thales entities that we brought the accounts in U.S. dollars, I mean the impact as this is converted in Europe. So overall, I mean, 2025, as I looked at the overall sales that are reported in U.S. dollars from our overall Thales entities that report in dollars, it represents overall level of annual revenue of around $1.4 billion, which means that if you consider moving from 1.05 to 1.15 [ph], the impact in terms of revenue overall on an annual basis, is something around €350 million. Now in terms of EBIT at this time, overall, I mean, those are U.S. denominated entities. Overall, the report a level of EBIT, which is around $800 million, which means that a $0.10 change moving from 1.05 to 1.15 [ph], it represents something like €70 million of impact. So a slight negative effect overall and the overall EBIT margin of Thales that overall represents something like 10 basis points. So this is what I can share with you on Forex. And last point on our payments banking business. So as I mentioned, I mean, Q1 was overall positive in terms of organic growth. As I mentioned, we have experienced since the last quarter of 2023, I mean more – I mean overall negative growth in this business, being the outcome of the destocking from our customers in the U.S. So in Q1, we turned back positive in terms of organic growth. Our level of visibility at this point is still quite low. I mean, you mentioned the impact of, I guess, probably how could we consider a potential recession in U.S. in terms of impact on our payment business. At this point, it’s probably a bit difficult to anticipate. However, there, of course, are some kind of correlations between, I mean this business and the overall GDP growth. So of course, I mean, this business will not be immune to recessions in the U.S. if this is what you consider. But this is not we have seen so far.
Olivier Brochet: Good. Thank you very much for the detailed answer, Pascal.
Operator: Thank you. We will now take the next question from the line of David Perry from JPMorgan. Please go ahead.
David Perry: Hi, good morning, Pascal and Alexandra. Sorry, just very quickly, did you just say to alleviate the impact of translation on EBIT was €70, 7-0 million or €17, 1-7 million. I didn’t quite hear.
Pascal Bouchiat: No, it was 7-0, 70. And as I mentioned, the underlying level of EBIT that are reported by all our U.S. entities, it represents a bit less than $800 million and $800 million of underlying EBIT if you assess, I mean, $0.10 change in Forex, overall, it represents something like €70, 7-0 million of bottom line impact on an annual basis.
David Perry: Okay. Okay. Thank you. Look, you’ve had a really good defense print. So, I feel a bit bad asking some more questions about cyber, but I would like to just focus on that. You acquired the business a year ago. So I’m just wondering why you’re starting the sales force integration now. Why is that impacting sales? Can you just give a bit more color on that? How long will it take? And what are you now expecting for full year cyber sales, please? Thank you.
Pascal Bouchiat: Okay. So David, I mean, as you know, I mean, the completion of the acquisition of Imperva, it took place end of November 2023. So I mean, probably worth to remind you that they are, in particular, two very important elements of the integration in terms of synergy. One is the merge of the overall sales force. And second is overall the merge of the overall product policy. You are in mind that this business is really a business that is driven by developments by R&D developing new products, in particular, I mean, more and more, I mean, software products. And of course, I mean, the merge of product policy is quite important. And the second one, as you know, this is a business where, I mean, the level of sales expenses and behind that the size of the sales force is also pretty important because once you’ve got your product then I mean, it is how you can sell it as quickly as possible throughout the world. So this is basically what underpins, I mean, the business model of this software-as-a-service type of cybersecurity business. So – and what I’ve explained in 2024 was that we were preparing the merge of those two sales forces, which overall represents something like 1,000 employees. So this is a pretty large I mean, sales forces located in various countries with a number of key elements to be taken into considerations as we were preparing this merge. One key element, for example, is merging the two incentive programs, which are absolutely paramount in this type of businesses because really this is a nerve of the war. I mean, we are talking about sales reps that have a level of variable compensations that in most cases is significantly above their basic salary. So you can imagine that merging those two incentive programs, we took a bit of time before launching this merge. And this was really anticipated as we closed transactions to consider that it would take us something like one year I mean, to get ready for that, and then to move from the practical implementations of this merger. So it is taking place today. I mean, overall, things are doing pretty okay. Now of course I mean, as you move, I mean, employee sales reps from one responsibility to another one, changing the overall organization it’s true that there’s a bit of disturbances. So all of that will progress in the next few months, no doubt about that. My view is that probably in the beginning of H2 2025 it will be behind us, but it means that the next three months could be still a bit impacted by I mean, this overall merge of those sales force. So overall, I mean, this is what I can share with you about your last point about I mean, what do we expect in term of sales growth for this Cyber business, we mentioned as we released our 2024 financials that our objective for 2025 was more high single digit. So at this point, let’s take a bit of a higher perspectives and probably getting back to you probably midyear to see whether or not we change our view on the overall level of organic growth for 2025 considering I mean, this merger of our two sales forces. So at this point, this is still the objective. Now it will depend, of course, on the Q2 figures and how we will see, I mean, Q3 and Q4. So this is what we can share with you on this matter. No specific concern, but a step which is quite significant for us I mean, and very important because behind that, it’s synergies and also, of course, as you can imagine, the merge of the two work – sales forces is also designed I mean, overall to deliver more growth, I mean, to unlock potential of the two combined organizations. This is basically what we have also in mind through this merger of those two sales forces.
David Perry: Very clear. Thank you. Appreciate it.
Operator: Thank you. We will now take the next question from the line of Christophe Menard from Deutsche Bank. Please go ahead.
Christophe Menard: Yes. Thank you very much for taking my questions. I have three questions. The first one is on defense and the broader appetite for your product since the start of the year. We understand well that, I mean, the political declaration needs to translate into deeds and budget now. But have the discussions with your clients – well, you have had discussions with your clients. On which product did you see a change in terms of interest? And what is the main concern from the prospective buyers? Is it price, availability, technical capabilities? So that was the first question. The second question is on the growth you had in defense in – organic growth in Q1, which was a positive surprise to me, 15%, despite a tough comparison basis, to be honest. So I just wanted to better understand what you were – I mean, looking at the organic growth you had in subsequent quarters last year, they were solid but Q1 was extremely good last year. So should we, I mean, how can we, I mean, there is a phasing between H1 and H2, that's what you mentioned. But can you help us better understand this? Is it due to some specific milestones that you're seeing so that's kind of the phasing of that growth in Defence? And the last question is on Avionics. How can you explain such a strong underlying growth in all segments, I mean, both OE and MRO? Is it OE is just the production rates of your clients and MRO as well? Thank you.
Pascal Bouchiat: Okay. Thank you very much, Christophe. So let me start with Defence and where do we see today in our discussions with our clients? I mean, in particular, a broader appetite, a stronger interest in our product. So it's not just one product, it's more across the board. But if I would have to name, I mean a domain where we see today a lot of excitement, maybe it could be our defense capability, in particular, midrange air defense. Maybe you have heard about this famous SAMP/T, I mean, this in particular new generations of midrange air defense capabilities that Italy and France are developing and that could, of course, I mean, replace Patriot type of capability. So that's really where today we've got intense discussions with clients on this matter, and to a large extent, not just midrange, but including for us are quite an important product range, which is a short-range air defense capability, short-range missiles, in particular, from our Thales U.K. business. I mentioned, I mean, this project that will be 5,000 what we call LMM short-range missiles to be sold to Ukraine with a U.K. backstop on this funding. Maybe, I mean, second type of capability where we also have a pretty large discussion is electronic warfare and it's also, I mean, probably the outcome of what happened in Ukraine in terms of probably missing capabilities. The third is, of course, I mean, effectors ammunitions. I mentioned missiles, but it is also the case for our rocket motor for Thales in particular. So those are, I mean, some key products where today we've got quite intense discussions with clients. And then on top of that, it is about getting more of existing platforms. So whether it's a frigate, whether it's a combat aircraft so they need to have more of existing platforms because, I mean, it's not a question, I mean, coming back to your question about is there missing capabilities in terms of technology and in most cases the answer is no. I mean, the technologies are there, it's more questions of those countries being able to order more of existing platforms. So that was your first question. Second question about sales growth in particular and Defence and Avionics. So overall I keep saying that we shouldn't over interpret, I mean, quarterly figures. Of course, on order intake, let's, I mean, I believe that, I mean, commenting in a lot of details quarterly order intake doesn't make sense. On sales, probably it's more meaningful even though, I mean, also on revenue, I mean, you might have a cutoff effect from one quarter to the other. So it's true that Defence growth in Q1 was above our expectations. Now we know that in Defence 2025 in terms of growth will be pretty much front loaded. As you know, I mean, we had a very, very strong Q4 last year with a growth of 24%, which means that I don't expect in Q4 2025 to report a positive growth against Q4 last year because, I mean, the [indiscernible] basis is so high that this is not what I'm expecting. So basically, it shows that for Defence our 2025 will be probably more front loaded with what I've just mentioned. All of that given – of course, I mean, this 15% organic growth for Defence in Q1, this gives us a pretty strong confidence about our 6% to 7% organic growth for Defence for 2025. Avionics now, first, I mean, if I look at our Aerospace segment in Q1 2025, space was pretty strong in terms of order intake. And as I mentioned, in particular, because, I mean, we booked are three big contracts in Q1, in particular, two in telco. So – and it doesn't change our overall view for order intake for space in 2025. But it's true that it's pretty much also a front-loaded type of order intake profile for our space business, which has always been bumpy because in space, we're talking about a limited number of pretty large contracts in this type of business. Now it's true that from a revenue standpoint, Avionics was in Q1 above our expectation. And this pretty much throughout all our segments in this business. Now it's also important to have in mind that as we released our – 2024 figure, I mentioned that Q4 for Aerospace, in particular, for Avionics was below expectation because some of our deliveries has been postponed by clients, in particular, in our IFE business. As you probably remember, some of our customers still waiting for aircraft and seats to be delivered to their own premises. So we've got here a bit of a catch-up effect from Q4 to Q1. However, I need to say that all is not just IFE, we benefit from overall a pretty strong level of demand in Q1 for all our segments in our Avionics business and also when it comes to aftermarket, which has been pretty strong in Q1. So here again, I mean, this level of start in terms of growth rate on revenue for Avionics probably give us a pretty good level of confidence for the full year 2025.
Christophe Menard: Thank you very much.
Alexandra Boucheron: Thank you.
Operator: Thank you. We'll now take the next question from the line of George Mcwhirter from Berenberg. Please go ahead.
George Mcwhirter: Good morning. Thank you for the question. Just on the cyber business again. I think you previously guided to reaching double-digit growth in this business. Is this a level you're still comfortable with? And if so, when do you expect to reach this growth rate? Thank you.
Pascal Bouchiat: Excuse me, George, your question was about cyber?
George Mcwhirter: Yes, cyber growth.
Pascal Bouchiat: Okay. So I think that already commented a bit about, I mean, cyber. Our objective for 2025 was high single digit. And now, as I mentioned, is to that, I mean, Q1 is a bit of a slow start for the reasons that I mentioned, both on product, on cybersecurity products, in particular, I mean, the impact of the merge of our sales force, as I mentioned. And second, on services, as I mentioned, a negative growth in Q1. And bigger as I mentioned, weakness in Australia and also our willingness to focus our businesses on probably more high end or more profitable type of market segments. So, at this point, probably a bit difficult at this point to confirm high single digit for the full year. This is where I said that we need probably to come back to you midyear based on Q1 and Q2 on this matter. Now – on the midterms, no doubt that this double-digit top line growth for cyber is really our objective. It has been the case in the past. It's true that Q1 is a bit of a slow start but midterm, this is basically I mean the type of growth that we expect for this overall cyber business.
George Mcwhirter: Thank you.
Operator: Thank you. [Operator Instructions] I would like to hand back over to Pascal Bouchiat for any closing remarks.
Pascal Bouchiat: So, it was quite clear. Thank you very much for your questions. So Alexandra and her team are, of course, at your disposal if you have any follow-up questions. So don't hesitate to reach out. With that, thank you very much for your attention. I wish you all a very good day. Thank you and see you. Bye-bye.